Operator: Greetings and welcome to Hibbett Sports First Quarter 2022 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Later we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded Friday, May 28, 2021. It is now my pleasure to turn the conference over to Jason Freuchtel, Director of Finance and Investor Relations. Please go ahead.
Jason Freuchtel: Good morning. Please note that we have prepared a slide deck that we will refer to during our prepared remarks. The slide deck is available on hibbett.com via the Investor Relations link found at the bottom of the home page or at investor.hibbett.com. These materials may help you follow along with our discussion this morning. Before we begin, I would like to remind everyone that some of management's comments during this conference call are forward-looking statements. These statements, which reflect the company's current views with respect to future events and financial performance, are made in reliance on the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 and are subject to uncertainties and risks. It should be noted that the company's future results may differ materially from those anticipated and discussed in the forward-looking statements. Some of the factors that could cause or contribute to such differences have been described in the news release issued this morning and the company's annual report on Form 10-K, the most recent quarterly report on Form 10-Q, and other filings with the Securities and Exchange Commission. We refer you to those sources for more information. Also to the extent non-GAAP financial measures are discussed on this call, you may find a reconciliation to the most directly comparable GAAP measures on our website. Lastly, I would like to point out that management's remarks during the conference call are based on information and understandings believed accurate as of today's date, May 28, 2021. Because of the time-sensitive nature of this information, it is the policy of Hibbett Sports to limit the archived replay of this conference call webcast to a period of 30 days. The participants on this call are Mike Longo, President and Chief Executive Officer; Bob Volke, Senior Vice President and Chief Financial Officer; Jared Briskin, Senior Vice President and Chief Merchant; Bill Quinn, Senior Vice President of Marketing and Digital; and Ben Knighten, Senior Vice President of Operations. I will now turn the call over Mike Longo.
Mike Longo: Thanks Jason. Good morning and welcome to the Hibbett's Q1 earnings call. If you're following along using the slide deck, I'm on the third slide entitled Introduction. This quarter was a terrific outcome from a financial perspective for the company. And as you saw in the press release, we reported an increase of 87% for comparable sales and the components of that were a 113% for brick-and-mortar and e-commerce was 1%. This resulted in operating income of just over $110 million and diluted earnings per share of $5. These results were made possible, of course, by the hard work of our 10,000 teammates in the stores, the store support center, and the distribution center. As always, they help lead us through another quarter in a challenging business environment. We are proud to represent our teammates today and wanted to make sure to thank them for a job well done. We believe that our results put us on track to significantly outperform our previously announced fiscal year guidance. Later, Bob Volke will address that new guidance. But first, I want to highlight some of the reasons for the strong Q1 performance. Several factors last year gave both new and existing customers even more reasons to shop with us. This included competitive closures, increased e-commerce adoption, spending rotation into our product categories, and a course, fiscal stimulus. As a result, we believe we have increased our market share. The momentum from these factors gave us even more opportunities to attract and retain new consumers and our data shows that we've done a good job retaining them so far. Let's talk a little bit more about sales drivers on slide four. As we stated previously, our competitive advantages of service, selection, and a best-in-class omnichannel capability provide us with a strong and resilient business model that continues to satisfy our existing customers, while also attracting and retaining new customers without sacrificing our ability to deliver a premium consumer experience. We continue to update and expand our product assortments, improve our supply chain capabilities and enhance our overall consumer experience both in-store and online. Our first quarter results exceeded expectations both in sales growth as well as a strong gross margin performance. Some of the key contributors to these results included, first of all, delivering a number of business model improvements earlier than anticipated, those include things like supply chain innovations, continued emphasis on the store culture, and numerous other investments that will provide future benefits. Another of those factors were that we continue to see large increases in new customers and gains in customer retention. Next, we saw existing consumer shopping frequency and continued order value increases. As well competitive closures and limited distribution had a larger impact than projected. And finally, of course we had stimulus payments that not only came on early but were more significant than anyone probably forecast. And as a reminder, we did not put that in our guidance previously. The combination of these factors drove higher sales, which allowed us to maintain a high gross margin and provide significant leverage on our SG&A. So, moving on to slide five, I wanted to give you a little bit of insight into the next few quarters. Of course, some of the factors mentioned previously are temporary, while others will persist into the future and could significantly improve our opportunity to drive incremental sales and profitability. We believe these factors that will have a lasting impact into the future include, continued improvements in our business model, additional investments in the consumer experience, new customer retention, capitalizing on competitive closures, and reductions in distribution of key brands and improved inventory position. That last factor, improved inventory position, warrants a little bit of additional discussion. We estimate our inventory position at the end of the first quarter was approximately $80 million to $100 million below where we wanted it to be in order to support customer demand and that shortfall cost us sales. We expect to make progress toward achieving our desired inventory levels in the coming months. When our inventory position improves, we expect that the increased revenue from a higher in-stock position will provide the opportunity to deliver incremental sales that will help mitigate much of the drag when the benefit of the temporary factors fade. I'll now turn over the call to Jared to discuss our merchandising performance.
Jared Briskin: Thank you, Mike. If you turn to the merchandising slide, we have incredible results across all categories, including triple-digit gain in apparel. Team sports recovered nicely from the COVID declines in the year ago period, also achieving triple-digit growth. All genders saw significant growth led by our women's business, which grew triple-digits. Our toe-to-head merchandising strategy and consumer focus continue to impact our results positively. Strong cross-category connectivity led to increases in average unit retail and items per sale. As a reminder, we announced the structural change to our merchandising organization last November, realigning our leadership and teams to be more consumer-focused across categories, organized by men's, women's, kids and team Sports, and City Gear. This structural change throughout our buying, planning, and allocation teams has enabled us to more closely align and focus our assortments to our consumers. We believe that we have made significant progress in our execution and while our results have been fantastic, we are just starting to deliver assortments driven from this organizational change, which gives us confidence as we look forward. Apparel business was up triple-digits. All apparel categories included branding apparel, fashion apparel, licensed apparel, and accessories, all were up triple-digits. All genders were significantly positive. From the athletic brands, we continue to see strong demand for athleisure, loungewear, and performance product. Flooded color connectivity between tops and bottoms, tall-to-small connectivity, and sneaker connectivity were our primary drivers. Our fashion brand business continue to be exceptional. Continued expansion of denim and collections with strong connectivity to sneakers drove our results. License business was explosive during the quarter as investments in jerseys and hats tied to our toe-to-head merchandising strategy continued its recent strong performance. Accessory business remained very strong with sunglasses, socks, underwear, and sneaker accessories driving the business. Footwear business was up in the low-70s with strong results across basketball, lifestyle, slides, and performance. All genders were significantly positive with women's growth outpacing men's and kid's. Basketball, lifestyle and slides were the standout categories in the quarter. Classic footwear and lounge product continue to be in high demand. Casual shoes as well as slide and sandals were also standouts for the quarter. Specific to footwear and apparel, our women's business was our fastest growing area with triple-digit sales. Men's grew in the low-80s and kid's in the high-60s. The increased sales and supply chain disruption continue to pressure inventory. While our results are fantastic, our inventory levels are not allowing us to provide the consumer experience to our standards and have likely led to missed opportunity. Our merchants continue to work to fill this void and we receive significant focus from our vendor partners regarding opportunities to improve our inventory position. Based on current projections, we expect inventory levels to be up in comparison to fiscal 2020 as we head into back-to-school but still below fiscal 2019 levels. And now, Bob will take you through the financial results.
Bob Volke: Thanks Jared and good morning. If you will, please refer to the seventh slide titled first quarter fiscal 2022 results. As a reminder, our results include both Hibbett and City Gear and are reported on a combined basis. For the first quarter, total net sales increased 87.8% to $506.9 million and consolidated comp sales increased 87.3%. This compares to first quarter fiscal 2021 sales of $269.8 million and a comp sales decline of 19.5%. Over a two-year period, our comp sales increased 51.4%. Brick-and-mortar comp sales were robust during the first quarter and came in at 113.5% versus fiscal 2021 and a 45.7% increase relative to the first quarter of fiscal 2020. e-commerce comp sales were essentially flat with a 1% increase compared to last year's first quarter, but reflected a 106.4% comp versus the first quarter of fiscal 2020. As a reminder, our stores were only open to the public for approximately 60% of the available days in the prior year first quarter, which drove a significant amount of business to the online channel. As a result, e-commerce sales accounted for 11.7% of net sales in the current quarter compared to 22.3% in the prior year first quarter. However, the current quarter mix of e-commerce sales is still approximately 340 basis points higher than the first quarter of fiscal 2020. Our GAAP gross margin expanded significantly to 41.4% of net sales compared to 27.5% in the prior year first quarter. This approximate 1,390 basis point improvement was due to higher initial sell-through, a low promotional environment, a mix shift away from e-commerce sales, which carry a lower margin due to incremental fulfillment cost, leverage of store occupancy expenses, and a decline in non-cash inventory valuation reserves related to a lower of cost or market -- lower of cost or net realizable value consideration. In the prior year, incremental non-cash inventory reserve expenses were recorded as a result of uncertainty brought about by the pandemic. Our current quarter gross margin of 41.4% is comparable to the non-GAAP gross margin of 29.4% reported in the prior year which was adjusted to exclude $5.1 million of non-cash inventory reserve adjustments. Store operating, selling, and administrative expenses, excluding depreciation and amortization were 18.1% of net sales in the first quarter, which was well below the 33.1% reported in the first quarter of fiscal 2021. In addition to leverage gained from the strong sales performance, the prior year included significant non-cash impairment expenses for goodwill, trade name, and select store assets brought about by uncertainty related to COVID, plus several hundred thousand dollars of City Gear acquisition and integration activities. Excluding these pandemic-related impairment and valuation costs and certain City Gear acquisition and integration expenses, prior year SG&A expenses on a non-GAAP basis were 23.9%. Thus, the current year SG&A expense rate of 18.1% represents an approximately 580 basis point decrease versus the adjusted prior-year first quarter results. This decrease was primarily due to leverage from the significant sales increase. Depreciation and amortization increased approximately $1.2 million from last year, reflecting increased capital investments on organic growth opportunities and infrastructure projects. On a GAAP basis, we generated $110.2 million of operating profit or 21.7% of net sales, which compares to last year's operating loss of $22.1 million. Excluding all non-GAAP adjustments during last year's first quarter, our $110.2 million of operating income this year compares to operating income of $7.8 million in the first quarter of fiscal 2021. GAAP diluted earnings per share were $5 for this year's first quarter and we did not identify any non-recurring items in our current quarter results. In last year's first quarter, GAAP loss per share was $0.92 and adjusted diluted earnings per share were $0.31. Driven by strong sales, robust margins, leverage of SG&A expenses, and a reduction in our inventory balance over the last three months, we generated operating cash flow of $107.1 million during the current quarter compared to $3.9 million of operating cash flow in the prior year first quarter. We spent approximately $7 million in capital expenditures, which were largely related to new, relocated, and remodeled stores. In the prior year first quarter, capital expenditures were approximately $4.1 million. Turning to the balance sheet, we ended the quarter with $270.9 million in cash and cash equivalents, up from $209.3 million at the beginning of the quarter and $106.2 million a year ago. Our entire $75 million of borrowing capacity remains available, but we do not anticipate the need to borrow from our secured credit line based on current cash projections. Net inventory ended the quarter at $182.4 million or 9.7% down from the beginning of the quarter and a 24.6% decline from last year's ending balance. The continued strong sales in both the brick-and-mortar and online channels, in addition to ongoing constraints in the supply chain drove the decrease in our inventory position. As Mike mentioned earlier, we feel we will start to see inventory balances rise over the next several months. During the first quarter, the company repurchased 541,283 shares of common stock at a cost of $37.3 million under our authorized share repurchase plan. As disclosed earlier this morning, our Board has increased our share repurchase authorization by $500 million in response to confidence in our projected financial performance and the related cash flow generation. Next, I'll review our updated fiscal 2022 guidance on the eight slide titled updated guidance. Given the strong results for the first quarter, we are revising our full year outlook for fiscal 2022, which ends on January 29th, 2022. This update is influenced by several factors. As we have previously mentioned, we attracted and retained new customers throughout fiscal 2021 due to pent-up demand, market disruption, and government stimulus payments. We feel we continue to attract and retain additional new customers in fiscal 2022. We expect that accelerating consumer adoption of e-commerce will continue to drive growth across our best-in-class omnichannel platform. Those factors in addition to our strong vendor relationships and targeted purchases by our merchandising team have us well-positioned to take advantage of expected increases in our business. Double-digit store growth, improving the in-store consumer experience, in addition to supply chain, and selling initiatives should also help drive sales growth as well. We are now forecasting comp sales for the full year in a range from positive high single-digits to positive low double-digits. This is up from previous guidance of negative low single-digit to positive low single digits. Relative to last year, the first quarter represented the easiest comp for the year and earlier guidance did not include government stimulus payments that landed during the quarter. Also as a reminder, the benefit we expect to experience from the closure of JCPenney and Sage Stores will lap during the third quarter. We now expect gross margin performance will be lower over the next three quarters than what we experienced in the first quarter of fiscal 2022 due to an expected increase in our inventory position, headwinds on freight and shipping costs, and a potential increase in promotional activity. However, we expect gross margin will be favorable to both GAAP and adjusted fiscal 2021 gross margin percentages on a full year basis. Our previous guidance indicated a year-over-year decline in gross margin performance on a GAAP basis. We continue to expect to deliver SG&A leverage on a full year basis compared to both GAAP and adjusted SG&A reported in fiscal 2021. But we believe SG&A as a percent of sales will increase over the next three quarters in comparison to the first quarter of fiscal 2022 due to wage and related benefit impacts, performance-based incentive and equity costs, and increased costs in categories such as travel and insurance. Lastly, diluted EPS is now forecasted to be in the range of $8.50 to $9 versus our previous outlook that projected diluted EPS of $5 to $5.50. Our diluted EPS forecast assumes an effective tax rate of approximately 25% and a weighted average diluted share count of approximately 16.9 million. We do not anticipate the difference between our GAAP results and non-GAAP results will be material for the current fiscal year. From a capital expenditure perspective, we continue to target investments of $45 million to $50 million focused on organic growth opportunities that we believe will lead to incremental sales and profitability and also on strategic infrastructure projects that will enhance our distribution and back office efficiency. We believe that these investments will assist in attracting new customers, retaining new and existing customers, enhance the consumer experience in-stores and online, and modernize our technology and processes. In addition to our capital expenditure plans, we intend to opportunistically allocate capital to share repurchases and currently have approximately $599 million available under our expanded share repurchase program following the expansion of our share program earlier today. We expect to provide longer-term financial and operational targets and additional insight into our compelling product offerings and customer-centric culture during our first formal Investor Day that will take place on June 24th. We look forward to your attendance at that event. That concludes our prepared remarks. Operator, please open the line for questions.
Operator: Thank you. [Operator Instructions] The first question comes from Sam Poser of Williams Trading. Please go ahead.
Sam Poser: Good morning, everybody. Thank you for taking my questions. I assume that within your guidance given -- well, first of all, can you give us some idea of how May is looking? Has the momentum continued quarter-to-date?
Bob Volke: Hey Sam its Bob. Again, I think, obviously, we've had strong momentum ending in the first quarter, you can expect that we continue to feel pretty positive about the outlook. We're not going to get into any specific month-by-month performance at this point, but again, I think, as we said earlier, pretty positive about what we feel the future looks like.
Sam Poser: And then from a SG&A perspective, do you -- I assume that you're -- it doesn't mean you're going to leverage every quarter and Q2 is probably the most difficult compare. So, can we assume that you're delivering Q2 and then potential and see leverage in the other quarters? Is that a good way to think about it?
Bob Volke: Again, not going to get into the specific quarter-by-quarter. But yes, last year, as we said the easiest comp was Q1, the toughest comp was clearly Q2. We still think that we can do a lot of good things from an SG&A leverage standpoint, but it is a little bit different from quarter-to-quarter. But again, we were just looking more to full year guidance at this point.
Sam Poser: And then can you -- you talked about your new customer retention, can you give us some details on the -- on sort of -- on your -- on the MVP program, how many people you've got this year, how many people are shopping twice -- more than once, you sort of talked about in general terms, if you could give us some color more specific, that would be greatly helpful.
Bill Quinn: Hi Sam, it's Bill. So, we had a record number of people sign up this quarter to our loyalty program. We also had a record number of new members shopping in the program. So, not only an increased level of new members shopping, but also more transactions for those new members as well as a higher transaction value. We've been following those new members starting last May when we started to gain those new members. And so far, we've seen lower levels of attrition versus prior year and even the year before that. So, we are effectively keeping new customers better than we ever have before. Part of that is, of course, having a wonderful in-store and online experience. The other piece of that is we have their information. Our files have grown by millions in terms of email, push, text, so we're able to effectively communicate with them like never before. Part of that is our loyalty program, where we incentivize them, of course, to make more trips.
Sam Poser: Great. And then you got a lot of cash on the balance sheet. How are you -- and you didn't just raise the buyback authorization, but outside of the buyback and the store remodels, how an openings -- how -- are there other things you're looking at for use of that cash?
Bob Volke: I think again, first and foremost, we want to replenish inventory values, that's going to be one of our big use of cash. And obviously, as you replenish inventory that generates more business. So, it kind of becomes a little bit cyclical. But we targeted again, the $45 million to $50 million in capital expenditures, which as you've touched on is geared heavily toward the front end of the house of the store aspect. Again, we still feel like there's opportunity in the marketplace to continue to invest in ourselves from additional capital, additional inventory, and additional share repurchase opportunities. So, that's basically the trifecta of capital allocation.
Mike Longo: Hey, Sam, this is Mike. I'd like to add a couple of comments. Hope you're doing well today. Look, we -- I think everyone noticed that CapEx has virtually doubled from our run rate in previous years. And that's a recognition of the fact that we have an opportunity to significantly invest in the consumer experience both in brick-and-mortar as well as the omnichannel experience. And we think that we're in the early innings of that investment. From the things that Ben is doing in the stores to get the sales culture embedded. We think that we're very, very early in that process. The results are remarkable and all the things that Bill is doing and the omnichannel experience and the incessant obsession with making it perfect, and we'll never be perfect, but that is the goal. He continues to increase the loyalty program, the Raffle program. And all of those aspects that make that the best-in-class omnichannel experience. And while we love where we're at, we're nowhere near where we're going to be. So, I'm very bullish on the future and those investments.
Sam Poser: Okay. Two more. One, your double-digit store unit growth and on the press release, it said by banner, does that mean that you'll open at least 20 new stores net this year and that's up from 10 prior. Is that -- am I correct about that?
Mike Longo: Yes, north of that. So, you're right, we have said we'll do double-digit unit growth in the Hibbett brand and double-digit unit growth in the City Gear brand and those are net of whatever a few closures we'll have this year.
Sam Poser: Okay, and then -- thank you. I'll come back. I'll come back for more in a second. Thanks.
Mike Longo: Thank you.
Operator: Thank you. Our next question comes from Alex Perry, Bank of America.
Alex Perry: Hi, thanks for taking my question and congrats on another exceptional quarter.
Mike Longo: Thank you.
Alex Perry: Just first, how should we think about comps in the second quarter, in particular, with the lapping of the stimulus benefits from last year, maybe partially offset by the [Indiscernible] tax credit benefits that seem to be coming? And then just specifically with -- on the inventory, are you seeing a shift in sort of the launch calendar from 1Q to 2Q given the inventory delays? And just off of that, like how much of a drag was inventory this quarter? And how much of it -- how is it expected to continue to be a drag in the second quarter?
Jared Briskin: Hey Alex, good morning, its Jared. Certainly we're up against some a very difficult quarter, certainly in the second quarter. But we're real confident the improvements we made to the company, certainly our trend, we do expect access to inventory to continue to improve as some of the supply chain issues improve. So, we like our odds. Specific to your -- I believe your last question with regard to inventory, we've had a very consistent flow of inventory and obviously, has resulted in a significant improvement in sales. So, what the merchant team has done in partnership with our vendors to chase this trend that we're on has been a Herculean effort. I cannot be more proud of what they've been able to do and we do expect as we get closer to back-to-school, we'll be in a much improved inventory position and expect the quality of our inventory to remain at the levels of that. Specific to the launch calendar, there have been some launches that have shifted, whether it be month-to-month, quarter-to-quarter. I wouldn't say they've been any more frequent than what we've seen historically, we always deal with changes in the launch calendar. So, some of that is fairly normal. We have seen some certainly due to the impact of the supply chain, but again, not a completely abnormal process that we've been through in the past.
Alex Perry: Perfect, that's really helpful. And then it sounds like you saw a positive impact from competitor closures and limited vendor distribution, more limited vendor distribution in the quarter. Can you maybe give us some more detail on that particularly, and then maybe an update on the market share opportunities? Since I think the last time you said it was sort of $20 million to $40 million of an annualized benefit, but that just included Sage and JCPenney, and I think there's been, you know, a few other public companies that come out and publicly said they're losing access to Nike products. So, just wondering if you could sort of give us an update there?
Jared Briskin: Yes, its Jared again. I mean certainly, there's lots of marketplace changes, whether it be from closures or whether it be from changes in distribution strategy, by a number of our partners. What we seen initially with regard to Sage and JCPenney is that those stores that did have a closure in their market are performing better than our average. So, very, very pleased with what we've seen from that so far. There are more that will occur, certainly as we go throughout this year. But some of that's in the early innings, we need to get to a point where inventory completely flushes out of some of those banners that maybe are losing distribution and we certainly see that as a significant opportunity for us as we go forward.
Alex Perry: Perfect. And then just my last question, can you just give us some more color on what is expected to drive the gross margin strength over the next three quarters? Are the expectations and the guidance for the promotional environment to remain fairly limited here?
Jared Briskin: Hey Alex, Jared again. Yes, we do expect that the promotional environment should be limited. Lots of conversation around the cadence back to normal, not quite sure what normal means today. So, -- but based off the health of inventory, the marketplace, a lot of the distribution changes that are occurring, certainly the health of our inventory as we're at record level lows and aged inventory, we would expect that promotional activity to remain fairly low.
Alex Perry: Perfect, that's really helpful. Best of luck going forward.
Jared Briskin: Thank you very much.
Operator: Thank you. [Operator Instructions] The next question comes from Peter Benedict of Baird. Please go ahead.
Peter Benedict: Hey, good morning guys. So, first just following up maybe on that last question or as part of the last question. The typical season -- we understand that there's very little that's typical of what's right now, but seasonality would suggest that your -- the second quarter revenues are down, I don't know anywhere north of 20% sequentially versus 1Q, and I'm just -- that would imply like a mid-teens comp decline. I know you're not giving guidance, but I'm just trying to understand given what you see is -- is there any sign that we're going to be maybe following normal seasonality? Or are we just still at trends that make those kinds of analyses kind of worthless in the short-term? That's my first question.
Jared Briskin: Hey Peter. Certainly hard to predict that, I don't know if I would call them worthless certainly inputs and to try to understand what that cadence is. The things that we're most excited about, obviously, we're up against a big quarter and certainly very healthy numbers. But Mike referenced all the improvements that we've made across the company, thrilled with the access that we've seen with regard to new customers. And we really do feel that the build of inventory is going to significantly help us as we go through and get closer and to back-to-school. So, certainly lots of questions around timing. Will it be a normal back-to-school? We certainly believe it will be significantly better back-to-school than a year ago. When that will occur, still somewhat unsure. But really confident in the improvements we've made across the company, really proud of the improvements we've made within merchandising and connecting to our consumers. But certainly know that it is a big number that we're up against. And you're modeling out some of those month-by-month cadence, quarter-by-quarter cadence. Very difficult at this point with the information being so drastically different than what we've seen historically.
Peter Benedict: Yes. No, that's fair. You guys have done a great job here. But I guess shifting to gross margin, just curious any color on kind of those product margins performed in 1Q versus maybe occupancy? And it sounds like, you guys don't expect too much promotional activity to return which makes sense given the inventory situation, but just wanted to confirm that your outlook doesn't really assume promotions and markdowns kind of get back to anywhere near normal over the balance of the year.
Bob Volke: Peter, its Bob. Again, I think we continue to see strength in the product margin line and obviously, with the sales volume we've -- as we've said multiple times, we get some significant leverage off of the store occupancy piece. As those sales numbers, again, are up against some tough compares last year, there is a little bit of pressure on not only the product margin side as we start to replenish inventory values, but you get a little less leverage, obviously, on the occupancies you move forward to. So, that's why I said we're being a little bit more cautious on what that looks like. We expected there to be headwinds. Obviously, at some point, we've been blessed to get through another quarter with a really strong overall gross margin number, but there is some concern that that number will start to drop a little bit here over the next three quarters.
Peter Benedict: Okay. And then my last question is just -- can you just maybe elaborate on the investments in customer experience that you're doing, and also some of the supply chain initiatives you've been alluding to, just curious kind of any more specifics you can provide around that? Thank you.
Bill Quinn: Hey, Peter, it's Bill.
Peter Benedict: Hey Bill.
Bill Quinn: So, we've actually spent -- hey. We spent a lot of time doing research, doing analysis, design, and testing around what we're calling next generation omnichannel experiences. So, those are going to be focused on number one, our loyalty program, making that easier to use, even easier than it is today, as well as more valuable for our members. So, number one, loyalty. Number two, our launch process and our app, they're very good today, but we're going to make this even better. So, we have some very unique and industry leading plans around that piece. And then lastly, around fulfilment, how to get things faster to customers. So, those are three things that we're very focused on, around our next generation omnichannel.
Ben Knighten: Yes, I'll chime in, this is Ben. From the in-store experience, number one, we want to make it fun for both our customers and our associates in the stores, and so we've been doing a lot there inclusive of updating the stores through our fresh program, and our new store design, upgrading the music that we play in stores, things of that nature to again, make it a compelling environment that you want to spend time in. We've also done some things from a store side standpoint, obviously, within training, we've continued our leadership training at store level, done some things with contests and SPIF, again, to just increase the experience both for our associates and our customers and consumers when they come in.
Peter Benedict: Okay, great.
Mike Longo: And this is Mike, I'll talk about the supply chain for just a second. It's always been my view that retail is an extended supply chain. So, it's incredibly important to what we do and I'll represent what they're doing today. The three priorities in order of priority, when we started this journey were velocity, then capacity, then efficiency. So, the velocity, a lot of those initiatives are underway and they started with frequency of delivery, and speed to market. Those have yielded great results, and you see them in the sales line and in the gross margin line, because I'll remind you this stuff has a shelf life. And the faster it's on -- the faster it's in the store and in the hands of the consumer, the higher the turn, the higher the gross. The second part of that capacity was incredibly important because we expected to grow and we have grown and we've turned in substantial amount of growth in a short amount of time. And so as a result, that capacity has become ever more important. So, for example, going from a five-day a week operation to a seven-day a week operation, by judiciously investing in things that increase the throughput through the distribution centers as well as in the transportation side. And then third, efficiency always comes last, because you have to be effective before you can be efficient. You have to be good before you can be frugal. And so the efficiency initiatives are underway. And they're all the things that you'd expect that we're doing in the supply chain to lower the labor costs and improve the turns. So, thanks.
Peter Benedict: Well, that's great color. Thanks so much guys. Look forward to diving deeper on the 24.
Mike Longo: Thank you.
Operator: Thank you. The next question comes from Cristina Fernández, Telsey Advisory Group. Please go ahead.
Cristina Fernández: Hi, good morning and congratulations on a good quarter. I have two questions; one is about the higher average ticket. Can you comment on what you're seeing as far as consumers either trading up or purchasing more items would have found with the higher up apparel sales that could have put some pressure on tickets? So, any color there would be helpful.
Bill Quinn: Hi, Cristina, it's Bill. So, a couple things, our average unit retail -- so the average unit has gone up, and obviously, we have less clearance, so that's part of it. Also the amount of units per ticket has also gone up and that's a result of our focus on toe-to-head, not only selling the sneaker, but the apparel and accessories that go with it. So, those are two of the main driving factors.
Cristina Fernández: Thanks. And then the second question I have was the quantification of the shortfall in inventory, the $80 million to $100 million, I guess, was that relative to expectations, or was that just your estimate of the sales you left on the table during the quarter based on demand? And do you think you can recover that here in the second quarter? Thanks.
Jared Briskin: Yes, good morning, its Jared, so that commentary was specific to inventory levels. So, certainly the lack of inventory does translate to a potential sales shortfall. So, again, we feel like to provide the right customer experience both in-store and online. We have a gap of approximately $80 million to $100 million in inventory.
Operator: Thank you. The next question comes from Sam Poser, Williams Trading. Please go ahead.
Sam Poser: Hi, I've got a couple of follow-ups. Just being built into the guidance of the balance of the year, have you -- has the $20 million to $40 million benefit from Sage and JCPenney changed? Is the [Indiscernible] tax credit built into that number -- to the guidance?
Bob Volke: Yes, Sam I think, we've made a brief comment, too, we think that the impact of the closures of JCPenney and Sage was probably a little bit more favorable than we had originally anticipated. We obviously have baked that to kind of run rate into the future. At this point, [Indiscernible] tax credit, just like stimulus in the past, we understand it's kind of -- it's a known item, but with some of the unemployment benefits that some of the states are going to be cutting off, plus the combination of when and who the tax credits are going to, we really just did not know how to factor that in from a standpoint of timing wise, so the estimate really does not include any potential impact of that.
Sam Poser: All right. So that actually leads right into the next question. So, you guys have done as in called out -- I believe you've done a very good job of -- as you wrote here, really improving -- I just call it consumer engagement, your omnichannel in-stores, and so on and so forth, that shows up in your results. How much -- but then you're concerned, in the -- there's other sort of macro factors that are impacting the guide. How much did stimulus do you think helped the quarter? How much of it -- how much control do you guys really feel like you have as to what's happening next? And relative to the numbers you put out there, because yes, I understand the macro. But then you continue to improve all of the consumer facing stuff, which appears to be driving business. And if you keep getting better, that should theoretically could keep getting better, does that overwhelm -- like, how are you judging that versus sort of the macro headwinds you know and headwinds you don't that you have sort of built in to -- in your commentary, both on the call and in the press release?
Bob Volke: So, Sam, you don't have any easy questions I could answer. I think it's obviously difficult to isolate stimulus. I mean, we've got a lot of moving parts and none of these are mutually exclusive. Obviously, we attracted new customers and some of them had stimulus money, we have existing customers, some of them had stimulus money. Depending on when they joined us, whether it was second, third, or fourth quarter last year, and why they came to us, there's just a lot of different moving parts there. Again, we feel very confident in the base that we're building and in the experience we are providing to the consumer. But clearly not going to run away from the fact that stimulus has a significant impact on our results. The difficulty is when we get to a period where there's not some of these moving parts, what does that business look like? So, again, I think we feel like this is a long game. This is not something we're running quarter-by-quarter, we're looking at a long-term opportunity here. And even though we see a little bit of pressure on margin, and SG&A in the back, third quarter -- three quarters of this year compared to Q1, we want to remind people this is still relevant -- much better than it was a couple years ago. So, we think we've built a much stronger engine, we've built a much stronger base. And again, we can't really start to get into all the separate pieces, because there are so many moving parts, but again, trying to keep that longer term perspective in mind.
Sam Poser: All right. I'll follow-up on everything else offline. Thanks so much.
Operator: That was our final question. I'll turn back over to our host for any closing remarks.
Mike Longo: Well, thank you everyone for attending the call. We are very proud of our team. We are very excited about our results and that's enough celebration for us and it's back to work. So, we hope that everyone has a safe weekend, while we honor Memorial Day. We look forward to getting back together soon. Thank you so much.
Operator: Thank you. This does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines. Thank you and have a good day.